Operator: Good morning, ladies and gentlemen and welcome to the PolyOne Corporation Second Quarter 2017 Conference Call. My name is Liz and I will be your operator for today. At this time, all participants are in listen-only mode. We will have a question-and-answer session at the end of the conference. As a reminder, this conference is being recorded for replay purposes. At this time, I would like to turn the call over to Eric Swanson, Director of Investor Relations. Please proceed.
Eric Swanson: Thank you, Liz. Good morning and welcome to everyone joining us on the call today. Before beginning, we would like to remind you that statements made during this conference call may be considered forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Forward-looking statements will give current expectations or forecasts of future events and are not guarantees of future performance. They're based on management's expectation and involve a number of business risks and uncertainties, any of which could cause actual results to differ materially from those expressed in or implied by the forward-looking statement. Some of these risks and uncertainties can be found in the Company's filings with the Securities and Exchange Commission as well as in today's press release. During the discussion today, the Company will use both GAAP and non-GAAP financial measures. Please refer to the earnings release posted on the PolyOne website where the Company describes the non-GAAP measures and provides a reconciliation from the most comparable GAAP financial measures. Operating results referenced during today's call will be comparing the second quarter of 2017 to the second quarter of 2016, unless otherwise stated. Second quarter results will be from continuing operations with design, structures and solutions reported as discontinued operations. Joining me on the call today is our Chairman, President and Chief Executive Officer, Bob Patterson; and Executive Vice President and Chief Financial Officer Brad Richardson. Now, I will turn the call over to Bob.
Bob Patterson: Well thanks, Eric, and good morning to everyone joining us on the call today. We certainly have a lot to cover. As you know, we have announced and completed the sale of our DSS segment and reinvested the proceeds to acquire Rutland and Mesa. In addition, we recently announced leadership succession within Color and Distribution that has positioned us very well for the future. We'll review each of these but first I'm pleased to report that PolyOne delivered 7% sales and EPS growth over the prior year to reach $814 million in revenue and $0.63 per share. Our recent investments in commercial resources are clearly paying off as organic sales expanded 6%. Performance, Products and Solutions and POD both reported record second quarter results and deserve special recognition for their performance. PP&S continues to improve upon prior year performance as a result of expanding in the new applications, such as medical device housings and LED lighting. They also continue to embrace Lean Six Sigma and make operational improvements, most notably with the assets that we acquired from Spartech four years ago. With all the attention that DSS has gotten over the years, it’s easy to forget that we picked up some important and valuable assets from Spartech that have been integrated in the Color, Engineered Materials and PP&S and we're seeing gains in each. Distribution expanded revenue 7% and increased operating income by 14% as we continue to leverage my previously discussed recent investments in commercial resources, and I’m not just talking about adding people for the sake of having more feet on the street. In fact, that I’m often asked of our recent sales growth was as easy and simple, as adding sales people, and my answer is an emphatic no. While, it is true, that for PolyOne as a whole, we have increased our sales force by almost 20% over the last three years, commercial success isn’t just about adding headcount, it’s about finding and developing the right people and giving them the tools to sell our value. It's also about service. And I believe, our refreshed training curriculum for our sales force has been crucial to our success. Led by Michael Garratt, our Chief Commercial Officer, this training develops our sales force around the world. We teach our sellers to collaborate across segments and nurture their development with the technical knowledge that customer's value and trust. This in turn creates the gateway to providing them with the innovative solutions they need. If this sounds familiar, it should, these guiding principles comprise our commercial excellence pillar, which help to shape the early years of our specialty transformation and still it guides us today. Our new training further embodies these core fundamentals of excellence in service, creativity and innovation and teamwork in every region. But commercial excellence 2.0 means we also invested in and significantly expanded our inside sales team and use of web-based tools to connect with even more customers. While our highly technical specialty businesses don't often lend themselves to large e-commerce transactions, we have operated our website and capabilities to capture new business leads and make new contacts that begin the collaboration process. It's working. It’s building our sales funnel, and it’s translating to new business. If you haven't checked out our website lately, you need to do so, customers certainly are. Most B2B customers research potential suppliers on the web during the first two-thirds of their buying journey, and our new website was developed to leverage that behavior. It's stock full of useful informational content such as e-books on material selection, white papers for technical audiences and webinars that engage potential customers and generate leads. For example, we've recently launched an e-book and hosted a webinar and trends in automotive manufacturing from electric cars to driver-assist. This drew downloads and registrations from a number of OEMs and tiered suppliers. These forms quickly turn into follow-up discussions and are the foundation of new business leads. Our teams are also participating in hands-on technical seminars most recently with some of our most innovative customers, and where we highlighted solutions ranging from antimicrobial coatings to metal replacement opportunities. We sow the seeds for innovation and growth at industry events as well, and over the past three months we have prospected in collaborative customers at several events including Chinaplas in Asia, and the Automotive Interiors Expo in Europe. Quite simply, we are getting back to basics and improving at the fundamentals of growth, taking care of customers, collaborating, and making sure our people are equipped and motivated to do just that, and we are motivated. As I said in our press release this morning, the last few weeks mark an important inflection point for PolyOne. With the sale of DSS, and acquisition of Rutland and Mesa, these portfolio actions allow us to focus on our core areas of expertise. As we look ahead, I feel that with our streamlined structure, we could focus our attention on accelerating innovation and service for our customers and ultimately deliver value for our shareholders. I'll now turn the call over to Brad for segment highlights and the financial background on our recent acquisitions.
Brad Richardson: Well, thank you Bob, and good morning everyone. You know, as Eric mentioned, DSS results are now reported as discontinued operations with all year-over-year operational comparisons, excluding their results. For the second quarter, we reported an all-in GAAP loss of $2.20 per share, reflecting the loss on the sale of DSS. Adjusting for special items, EPS from continuing operations for the quarter was $0.63, a 7% year-over-year increase from $0.59 in the second quarter of 2016. Building on the strong momentum, PolyOne Distribution delivered a record second quarter and its 11th consecutive quarter of volume expansion. Distribution is at its heart more than just a distribution company, and we are gaining market share, thanks to our unparalleled customer service, on-time delivery, market segmentation and recent investments that Bob discussed. Overall Distribution improved sales by 7% and operating income by 14% phenomenal results that we’re working on to continue in the second half of the year. Even more impressive, return on sales hit 7% for only the second time in our company’s history. Specialty Engineered Materials on the other hand, fought an uphill battle this quarter in the face of challenging market dynamics. Although, we delivered 11% growth in sales, operating income declined due to raw material cost inflation and unfavorable foreign exchange. Butadiene for example, was up 100% year-over-year and rising polycarbonate and nylon resin prices also squeezed margins. While we did implement price increases, we were not able to offset all of the cost we incurred, and as a result, we reported lower operating income for the quarter. Our EM team continues to aggressively seek and win new business. And one recent win really highlights two fundamentals that PolyOne drives on, innovation and collaboration. Working with the specialty fabricator, we developed a modular protective system based upon PolyOne’s glass armor continues fiber composite panels. In Layman’s terms, it’s a portable bullet-proof shelter. For soldiers in the field, climate protection is a must. Portable shelters need to be lightweight and easily constructed. And our expertise in ballistic resistant composites delivered those requirements. Rising raw material cost and unfavorable foreign exchange also impacted our Color business, as these items partially offset the positive contribution from 5% sales growth. Finally, Performance, Products and Solutions delivered yet another impressive quarter. PVC costs are up but not to the extent some of the previously mentioned cost increase and PP&S was able to positively leverage its volume expansion. For the second quarter in a row, PP&S is within its platinum 2020 margin targets. When most people hear PVC, they think high volume commodity applications. Not true for our Geon brand within our PP&S segment. We’ve continue to improve our mix in favor of industry needs that rely on higher performance PVC base formulation and applications. These solutions serve a variety of specialty end markets and we continue to win new business with LED lightning and healthcare application. Both markets demand high performance, either to ensure weather-ability or corrosion resistance in outdoor lighting or to provide chemical resistance anti-microbial surfacing on medical equipment. And where high performance polymers are needed PolyOne has the portfolio and the teams to deliver. Globally, PolyOne delivered sales growth in every region with Asia leading at 18%. Every region also generated operating income expansion except for Europe where we experienced some of the most significant margin compression from raw material cost inflation. All regions delivered positive and strong free cash flow which has always been a hallmark of ours. Looking closer at the quarter, tax and cash planning initiatives continue to help the bottom line, as our effective tax rate declined from 31.5% to 27%. This adds to the actions we took in Q1 when we further strengthened our balance sheet with an ABL amendment and re-pricing of our existing term loan. In addition to upsizing our ABL availability, we reduced pricing for both instruments and diversified our debt maturity profile to position us even stronger for the long-term. But ultimately, our recent portfolio actions have the most significant impacts on improving future cash flows and our overall cash profile. We divested the lower performing DSS segment for $115 million and expect to get an additional $20 million from favorable tax benefits. This cash has been effectively used to pay for Rutland and Mesa, which collectively cost $143 million. These acquisitions are expected to add about $75 million in sales on an annual basis and will be immediately accretive to earnings. With these actions, we can avoid another round of restructuring at DSS, as well as the higher levels of CapEx that this business incurred. This is cash that we can put to use organically, as we continue to add commercial resources and increase R&D. We can also further our investment in accelerating the growth of our recent and future acquisitions, as well as return value to shareholders through additional share repurchases and dividends. In short, I have never I have never felt better about our financial position. The strength of our balance sheet and our future cash flow generation potential. Bob?
Bob Patterson: Well, thanks, Brad. As you pointed out, lots of exciting new business and overall strong performance across the board. At times we have to make portfolio decisions that ensure the long-term financial health of our company and that put us in the best position to deliver for our customers, employees and shareholders. And that’s exactly what we have done with the divestiture of DSS and the proceeds from which we have been used to fund Rutland and Mesa. As you know, our DSS segment performance has been disappointing over the last three years. Over this time, we invested time and resources to improve its profitability, but we’re not successful. Recently we shared with you that we would be considering our strategic options this year. And ultimately, we concluded that selling its arsenal was our best course of action. And while a loss in the sales disappointment, there are many great assets that we picked up in Spartech that are actively contributing to our success right now and will in the future. They include the Color and PP&S and EM formulation assets that I previously mentioned that have seamless integrated into our company. Additionally, IQ Design our innovative in-house industrial design team will continue to serve our customers product development needs across all our businesses. And furthermore, the lessons that we learned from this experience has shaped our view on acquisition selection and identification. Knowing its credit for the deals you don’t do, but I can tell you that we have passed on a lot that don’t meet our criteria and the ones we have completed fall right into our sweet spot. And that means companies that can benefit from our investor grow approach, whereby we leverage our global footprint, commercial resources and R&D capabilities to enhance already successful businesses. Rutland and Mesa are perfect examples, both specialty bolt-on opportunities and both was in one of our core business as a Color, they’re highly strategic and influential component of consumer purchasing decisions. Let's start with Rutland. Already an industry leader in screen printing inks for the apparel market, Rutland will join PolyOne’s existing Wilflex specialty inks businesses to form a true front-runner in the textile space. Rutland’s added technology, distribution channels and global presence combined with our own which we have used to search screen printers for 30 years, allow us to offer customers the fullest array of solutions to deliver their current and next generation performance goals. Our other acquisition Mesa, is primarily a producer of masterbatch colorant which will be complementary to our Color platform. This solution serves numerous key end markets including packaging, consumer and the outdoor markets. We’ve always respected their portfolio and customized service approach to smaller, regional customers in North America. So we were thrilled when the company became available and we look forward to leveraging our technical resources and service offerings as we go to market now as a unified company. You’ve heard us say many times that Color matters, and this has never been more true than today, and that’s why we continue to invest here as a means to strengthen our leadership position. And for us, and our customers, Color doesn’t just mean Color. Color is everything that goes into that highly competitive battle of consumer choice. It takes place on grocery store shelves, holding racks, and car dealerships and on e-commerce sites every day. Color is a forecasting and design of what’s next. It’s the reason why one product catches a consumer’s eye versus another. Color includes the additive technologies that allow food to stay fresh or longer, extending shelf life and maintaining the safety texture and taste required of perishable food and beverage. And the reason we invest in this area is because consumer preference is dynamic. It’s always changing and the demands for improved performance are always rising. In our early PolyOne was largely composed of commodity joint ventures that we didn’t own or control. We produce base resins for the PVC market for example. Our own vinyl business focused on high volume, low margin commodity applications. You look at us today and you wouldn't recognize our past is being the same company, because it’s not. Our portfolio emphasis is dominated by specialty technologies, highly Engineered Materials like composites, performance additives, unique Color and special effects, as well as the soft touch TPE materials rely upon around the world. And of course, we utilize service, our timeless differentiator and we will do so like no one else in the industry. Our natural ability to collaborate with customers, drives our unparalleled service levels, we live it every day. And we don't wait to be asked by our customers. We are proactive and they love it. We've also learnt that we can leverage some of the key initiatives that help transform PolyOne to help our customers as well, like Lean Six Sigma. What started out as a simple offer to help a customer with some of their internal production bottlenecks, has now become a unique and formalized service offering, we call LSS Customer First. Our highly trained PolyOne black belts are deployed to customer sites working side by side with engineers, production managers, and the supply chain leaders. They identify problems and perform the rigorous to make process that is so greatly improved our own operations. And we’ve done this to capture whatever improvement opportunities our customers are pursuing. Last year, we evolved this offering even further by inviting customers to participate in our intense four-month LSS Black Belt training. It’s been hugely successful. In fact, customers make up nearly 30% of our current training class. Through collaboration, LSS Customer First is fixing problems that our customers otherwise couldn’t. As a result, their business is stronger, and so is their loyalty to PolyOne is a true strategic partner for the long-term. At the same time, we’re developing new service offerings, our innovational work in material science is accelerating as well. Halfway through the year, we are already nearing the number of patents granted for all of 2016. This is especially impressive when you consider the 2016 was a record year for us at PolyOne. This is the journey we’ve been on and we’re sticking to it. PolyOne’s leadership has been crucial to our transformation. And with the retirement this month of our long-time Head of Color, John Van Hulle it was exciting to announce another proven PolyOne segment leader who would take this place. I have known Mark Crist for a long time. He delivered when he joined PP&S, he delivered when he ran our Asia region and key accounts. And he delivered most recently as the President of our Distribution business. It’s his time to do so again in Color and he is just the person for the job. Filling Mark’s role as President of Distribution will be Scott Horn, one of the true veterans in our industry. Few people of any have the combined credibility, vast experience, and strong relationships in polymer distribution as Scott. He has been the consistent driving force behind our business success since PolyOne was created. And I’m extremely excited he will be leading our future growth and expansion in POD. Mark and Scott are two recent examples of leadership succession planning at PolyOne. And as you know, talent development is a true passion of mine. We work hard at it, we’re engaging in it deep within our organization. Our people make the difference, they have and they always will. With DSS divested in two exciting new companies joining the PolyOne family, we look to the future with even more confidence than we’ve ever had. We remained focused on delivering for our customers, our associates and shareholders in pursuit of our 2020 Platinum Vision. With that, we now have time to open the discussion for questions.
Operator: [Operator Instructions] Your first call comes from Mike Sison with Key.
Mike Sison: The volume growth in Engineered Materials pretty good there for 2Q. Do you expect that to continue in the second half, and will you be able to sort of turn the corner and generate some earnings growth for that segment?
Bob Patterson: I think we’re going to continue to see good underlying volume growth. I think it really remains to be seen whether or not, we deliver earnings expansion in the third quarter. I think we can get there in Q4. One of the things that, one of the questions that we get often is well, aren't raw material costs subsiding or moderating? And while that is true, vis-à-vis the first half of the year, they’re still up significantly over last year, and our price increases haven't been able to offset that yet.
Mike Sison: And then, I guess for global Color, I guess similar type of question. Volume growth was good again and earnings a little bit flat. Does that start to turn the quarter in the third or the fourth or?
Bob Patterson: Yes, I think so in the third quarter, Color will be a little bit ahead, and as we’ve sort of talked about our relative segment performances in terms of moving raw material cost to the chain, Color does that pretty fast. And so, I think we’ll see positive operating income growth in Q3. But they were affected in the first half of the year in the same way that EM was, not to the same extent. And in addition, we did have some acquisition benefit in the first half of the year that helped Color.
Operator: Your second call comes from Frank Mitsch with Wells Fargo Securities.
Frank Mitsch: I wanted to probe into how we think about the DSS divestiture and the stranded costs that are there relative to the acquisitions of Rutland and Mesa, I believe you said that that was immediately accretive, how does that balance out relative to the stranded costs on DSS, and how long will it be before the stranded costs of DSS are eliminated?
Bob Patterson: So, we had - if you look at the recast financial statements that we posted on our website there were about $12 million of stranded costs in 2016. I think that moderates to a number like $10 million or $11 million this year with a goal of ultimately getting that down on a closer to $6 million. With respect to the $6 million, I don’t really view that as a stranded cost, I view that as a reallocated cost in the sense that we had individuals and resources working on DSS that can now be deployed to our other businesses. So, I think that's the best way to think about those routine costs Frank.
Frank Mitsch: And how will we compare that to the accretion from Rutland and Mesa?
Bob Patterson: When you look at the ultimate EBITDA or operating income contribution from Rutland and Mesa, I look at that as being about $6 million on an annualized basis.
Frank Mitsch: And that's kicking in here in Q3, correct?
Bob Patterson: Correct.
Frank Mitsch: And Brad, in your discussion of the balance sheet, you've “never felt better”, what do we do in terms of capital allocation, obviously you got the money from DSS and spent it on these two acquisitions, what’s next in terms of use of cash?
Brad Richardson: Well, I’m really pleased if you look at how we've been managing the balance sheet after the pay-down of some of our revolver debt with the proceeds from DSS. Our net debt to EBITDA is going to be in the 2.6 to 2.7 range and that will go down throughout the year given our strong second half cash generation. I think our balance sheet and our uses of cash remain consistent with what we've said. We continue to look to invest organically back in the business. We will do that. We continue to look for M&A opportunities and the dividend is very, very important to us and to our shareholders. And finally, we'll remain opportunistic about our share repurchases. In the first half of this year, actually in the first quarter, we purchased 1 million shares. We did not repurchase in the second quarter because, again, we were focused on liquidity for the acquisitions that we were making, but we’ll continue to be opportunistic in execution of our buyback program.
Frank Mitsch: So we shouldn’t be surprised to see some more activity obviously zero in Q2, but we shouldn’t be surprised to see more activity in that front in the second half?
Brad Richardson: We will continue to be opportunistic, Frank.
Bob Patterson: We always balance that as you know with the acquisition opportunities that are in front of us. And there are a lot of bolt-on type acquisitions out there right now. We really are trying to narrow those down to the ones that we think are the best fits for us, but there is a lot to look at. And so our priority would be to invest in - continue to invest in the commercial resources and M&A next, but as you know, we've been doing that all along at the same time returning cash to shareholders through repurchases and increasing our dividend.
Operator: Your next call comes from Mike Harrison with Seaport Global Securities.
Mike Harrison: Bob, I was wondering if you could give us a little bit of insight or maybe guidance for full year EPS growth from what I believe was a $2.06 number for 2016 if you include the DSS business?
Bob Patterson: Yes. So, when we started the year, we had - I think this was at the end of our fourth quarter so it would have been back in January we were projecting EPS growth of about 7%. And I still believe that's a good number for the balance of this year but that's from continuing operations now against that $2.06 number, Mike, that you referenced. And that’s available on the recast financial statements, it’s on the website. So, really our sort of growth projections are unchanged from when we started the year and when you kind of peel that back a little bit where we're seeing - we’re seeing a very good and solid sales growth but acknowledging that raw materials are a challenge this year and that's kind of what’s making up the 7%. So, we feel very good about the balance of the year and that is unchanged from where we started.
Mike Harrison: And then, obviously, you mentioned the spike that you saw on butadiene and some other raw materials. In the face of that raw material volatility, can you comment on what the pricing environment has looked like? How customers responded to views that the raws are now coming lower and maybe what should we expect in terms of pricing contribution for the second half of the year?
Bob Patterson: Yes, I mean it really was a very challenging first half with respect to pricing and that dynamic results from having raw material costs really spiked so high, really towards the middle and end of Q1, still going into Q2, and - but then coming down, and certainly having a consensus expectation that raws were going to come down, meaning that as those prices were skyrocketing, customers were already getting their head around well if they are coming down later this year, why would we want to accept the price increase, clearly, no one ever wants to accept the price increase. We were, I believe, as aggressive as we could be with those dynamics in mind, recognizing that it's very challenging to do that, while prices are starting to come down. It was such a quick rise that I think that really made for a challenging dynamic and other companies are experiencing the same thing. I made a comment earlier maybe this with Mike Sison about the balance of the year, which is that, even with the consensus views on raws right now is that they’re still above where they were last year, and expected to be the case this year - expected to be the case in the second half of this year, and I don't think the pricing - I don’t think the pricing catches up with it to offset the cost for 2017.
Operator: Your next call comes from Robert Koort with Goldman Sachs.
Robert Koort: Can you talk about - and I know your product line is incredibly diverse. What would be the standard duration between when you quote a product and you actually deliver it that exposes you to that raw material volatility?
Bob Patterson: Yes, I mean, a very much, as you just qualified and making your question itself that very much by business. So as you know in distribution, we really don’t set the prices that’s done by our suppliers and that impact to us is really almost immediate. There can be times when on hand inventory represents a good guy or bad guy depending on what’s going on with the inflation or deflation. But that’s really relatively short lived as we really only got about a month of inventory on hand at any time. If I then pull back and look at color, for example, color really is very much priced on a purchase order basis, so every time we get an order there is arms length transaction there and can’t get repriced based on what we see or expect to see from raw materials. But it was a very challenging time in the first half more so than we have seen in a long time. So, while that opportunity is very short or that exposure is very short in Color, we still to some extent for the - of those raw material cost increases. It gets a little bit longer, I would say, in Engineered Materials where you might have one month to three months in some cases, but rarely ever longer than that. And then, as you know in our PP&S segment, we do have some business that’s indexed and that indexed is never longer than 30 days or 90 days. So and that’s probably 35% of PP&S to put that into perspective. So on the index side, I think those are all going to as you would expect, but still lagging behind where the inflation is.
Robert Koort: And on Rutland, could you give us some background there at as someone that’s watched the dyes industry textiles dyes over the last 20 years, it’s been a miserable end market. So can you talk about what you guys are doing or what Rutland does and the opportunity there?
Bob Patterson: Yes, absolutely. So I mean look, when people talk about inks and dyes and look at the total industry, it's $14 billion worth of stuff which includes inkjet printers and everything else that you can imagine. What we have in Rutland and Wilflex, the two primary brands that now we’re now operating under, really is a very narrowly focused ink design for a screen printing largely on applications for the apparel industry. The most common that you would think of would be sports jersey, so NFL, NBA, et cetera which have a very demand for high quality inks that a very few companies can deliver for. So, it’s a very narrowly focused, it’s for screen printing, only-type applications in those industries, but we have a very good and very strong position. We would have always characterize Wilflex is really probably the number two players in that screen printing inks business, and then Rutland being a little bit bigger. So two very good, very well-known brand names and that’s specific yet niche industry in set of applications.
Robert Koort: And then last quick one if I may. You mentioned in the press release, the sales force and market commercial resource expansion over the last couple of years. What do you expect your underlying go-forward sales force expansion or technical service expansion might be on an annual basis?
Bob Patterson: Actually this year, I think that we’re going to see – I think that you’re going to see some of the technical resources actually expand at slightly faster rate than the sales resources. One of the things that we’ve observed over the last few years is that, there are only so many sellers you can add without having supporting framework of technical resources, customer service, et cetera. And so, it’s not to say that we’re playing catch-up, but I think that’s where our investment will be this year. But I’m really expecting that on the whole to be in the low single-digits, so probably 3% to 4%.
Operator: Your next call comes from Jason Freuchtel with SunTrust.
Jason Freuchtel: For PolyOne’s acquisitions that are now being left on an annual basis such as the Kraton TPE business, and the Magenta Fibers business. Are this not generating EBIT margins consistent with your legacy business? And how quickly does it usually take to improve the EBIT margin profile to the PolyOne standard. Does it take longer in one segment relative to another to achieve higher margins?
Bob Patterson: Yes, I mean, they’re really very - I’d say they are not to where the underlying businesses are that they were integrated into. But that’s really exactly where we thought they would be with respect to that first year. And I would say through the balance of this year and going into 2018, that’s where you’ll see more meaningful improvement in those underlying margins. One exception that I might add is that, last year, we acquired Gordon and Polystrand, and recall that Polystrand was a business that really is a brand new technology and you almost need to think about it as being almost entirely research and development, and then in the second quarter, we were very pleased that that business was when combined with Gordon was breakeven. And last year, I think it’s on a combined basis probably lost $2 million. So I hesitate to describe it as a loss because it’s really an investment, but we’re seeing some really good early progress in our composites platform.
Jason Freuchtel: And you highlighted your IQ Design services multiple times since the announcement of the DSS divesture. How would you characterize or quantify the benefits of the IQ Design services for the rest of the PolyOne platform? And is that included in stranded costs?
Bob Patterson: Well, the IQ Design had been – it was set of resources that had been really even though the leadership around IQ Design was inherited from Spartech, we have subsequently built up that team significantly. And it has really for the last two and a half years been reported as part of our corporate costs, so it’s not really part of the retained cost, so it was something that was already in our consolidated P&L or corporate cost structure, which is important because it was really being used for all of our businesses. So if I look at their success, it’s early days with respect to the types of closes we’re seeing, but the traction with customers is outstanding, and we’ve had some of our best new business gains associated with that across really all of our businesses, but most notably in Engineered Materials.
Jason Freuchtel: And then lastly, what is driving the growth in the innovation measured by your patent expansion over the last two years? And are you seeing patent growth in any particular segment?
Bob Patterson: Well I think that first of all, I hate to say that it wasn’t meant to be anything bad about the prior year, because I think we’ve always focused on patent grants and innovation. We really do continue to focus on certain areas like composites, the additive space which is part of our Color platform. It's increasingly doing so for our target end markets of consumer, transportation, packaging and healthcare. So, it’s really quite a broad array of patents, but what I really like is, the activity that we’re seeing with combining some of our businesses together in terms of Gordon and Polystrand with Engineered Materials for example.
Operator: Your next call comes from Dmitry Silversteyn with Longbow Research.
Dmitry Silversteyn: Can you give a little bit of an outlook for what your tax rate is going to be like for the balance of 2017? You’ve mentioned the work that you’re doing to lower that and you got down to 27%, is that what we should expect for the second half of the year?
Brad Richardson: Dmitry, I think it will be 27% to 28% in the second half.
Dmitry Silversteyn: And then you provided a little bit of granularity on sort of how your businesses went by business unit. Can you talk a little bit about sort of the geographic environment that you mentioned a little bit tougher operating conditions in Europe but good growth in Asia-Pacific. Can you take us through what would it overall look like for you in the second half of the year?
Bob Patterson: Yes, so we had - really we did see a top-line growth in every region. I think Brad had made a comment that Asia was our best performing for the quarter, and that’s true with the revenues being up in the high teens. We really saw that in the consumer, packaging, and electronic markets in particular, of course, the Asia market is probably still growing faster than any other as well, we’re participating in that. What we saw in North America, I think was largely attributable to some share gains Dmitry that we’re seeing and POD stands out as an example so does PP&S. And then, I’ll get to maybe Europe last. But we also really had very solid expansion in Mexico as well as in South America in the sort of 8% to 9% range. In Europe, we did have sales growth, but we also had I think the most challenging sort of dynamics with respect to raw material and margin compression. But Europe was up, I think 7% for the quarter.
Dmitry Silversteyn: And then, just a follow-up on some of these growth that you’re seeing. If you can talk about maybe volume mix versus price. I mean I’m assuming you’re in early stage of price increases. So most of it is volume mix. But within that, are you picking up sort of new business or are you upgrading your slide of products that you’re selling into the market and enjoying more of a mix benefit?
Brad Richardson: I mean, so when you look at the underlying organic growth for PolyOne as a whole at the 6% that we quoted, about 2% of that was price and mix. And I would compare that to the first quarter when price and mix was probably been opposite of about 2%. So down to sort of probably even for the year, with the balance of that coming from volume growth. And we saw volume expansion in every one of the segments and you could find that in the queue, but the two biggest regions are two 00:47:23 where we saw that really wasn’t PP&S and EM.
Operator: The next call comes from David Koning from Robert W. Baird.
Ben Kallo: This is Ben online. Thanks for taking the question. Could you just talk to us because with the portfolio exchanges, on the acquisition could you just talk a little bit about operating margin across each of the segments kind of with the backdrop of the platinum vision and what your expectations towards that and or?
Bob Patterson: Yes. First of all with the divestiture of DSS, this is – I think we bring us very close to and possibly get over 10% on a consolidated basis for the full year which is something we’ve had on our sites for a long time. Looking at each of the segments, we’ve got PP&S and POD that are really already there, recognizing that with POD I think that as raw material move you can see some fluctuation that are in, hence I feel pretty comfortable about the range we’ve provided. And I still see upside for PP&S. So that kind of comes back to color on EM and we’ve got the two largest goals out there for them at 20%. What we’ve seen with raw material cost this year, certainly makes and look like those goals are more challenging, but I still think that they are achievable, and certainly if we saw raw materials go back in the other direction, that could help us. But the one thing that I guess I would point out is that, as I look at the M&A initiatives that we have oftentimes we’re bringing businesses in that have very good and respectable margins, but potentially a little bit lower than our organic businesses do, and so that might make it’s lower. But I still think 20% is a very good goal to have, very good target and achievable by 2020, we got a lot of time between now and then.
Operator: Our next call comes from the line of Kevin Hocevar with Northcoast Research.
Kevin Hocevar: POD, if you look at the - all the different segments, they all saw gross margin contraction with the exception of POD, which seemed to put a very nice 11.5% gross margins, which is as high as at least I’ve seen - at least last couple of years. So curious, what drove that? I know you mentioned gross - raw material impacts throughout the business, but was that a benefit here as raws were down sequentially or why don't if you could help frame up why the gross margins improved in Distribution?
Bob Patterson: Some of this and I may have made this comment to someone earlier, and that was that, look we do have on-hand inventory in Distribution, as we've talked about Kevin, sometimes you’ll see in periods of inflation, that you can get a little bit of a good guy, when you’re selling lower cost inventory in those higher prices set by our suppliers. And I think that was the case here in the second quarter. I don’t want to take anything away from the higher volume growth, which certainly helped us well, but there is no doubt that we have benefited from that. As raw materials actually go the other way, we find it sometimes that can hurt our operating income in the exact opposite fashion. And my expectation is, is that we could be facing that right now as we look at the third quarter for example. So, there is no doubt we got a little bit of a good guide from those on-hand inventory, the quantity is turning over. And in fact I think we mentioned this is the second time, we got into 7%, the other time we got there, I think we probably saw a similar dynamic, which is one of the reasons why we keep coming back to this sort of 6.5% to 7% type range. For them it's been sustainable over the long haul.
Kevin Hocevar: And then you mentioned 6% organic growth. I’m wondering if you could parse out, where as you know how much of that do you think is market growth versus share gains through all the investments you've made in commercial resources, and this is two quarters in a row now of mid single-digit organic growth. So, you're feeling comfortable that that’s a pretty good rate to think about going forward?
Brad Richardson: I think we're a couple of points ahead of market growth, and you know it’s always a very challenging question to answer, because of how many markets we’re in, and as many regions and industries et cetera. But I do think we have very demonstrable share gain, but we're also seeing gains by penetrating into new applications or we’re replacing metal, glass and wood which is our key part of our strategy. So, that probably is the best, I can answer that question for you without going into businesses specifically on each region.
Operator: Your next call comes from Laurence Alexander with Jefferies.
Unidentified Analyst: It's [indiscernible] on for Laurence. So, is there any end-market or area that's like outperforming or underperforming by surprise, like is there any an area that's surprising you guys in terms of strength or weakness?
Bob Patterson: No. I don't - and that’s the one thing when we get questions about our results as well on the sales gains is that, there wasn't any one thing out there that I would point to as a holy cow type event in one market. Sometimes as you know, where consumer is one of our focus markets and we sell materials that go into iPhone covers, et cetera. And so sometimes you might have an iPhone launch or something like that, that's a good guy or if you don’t have one a bad guy year-over-year, but nothing really to point to in all the markets that we serve when I look across the regions.
Operator: Your next call comes from David Stratton with Great Lakes Review.
David Stratton: When we look at the commercial resource additions, can you talk little bit about where we are as far as the productivity of people you bought on? And then also, where we are as far as the hiring run rate in terms of how much more you plan to do?
Bob Patterson: So earlier I think I've made a comment to Bob that I think that we’re going to see low single-digit additions this year, but with a preponderance of that probably taking place in R&D, technical, customer service type resources versus direct sales, doesn't mean that we won’t be – we won’t continue to add to the sales force, but I think anyway you’ll see a little bit more in those two areas. With respect to productivity, look at - it really varies by business and sometimes we bring somebody new into Engineered Materials who may start working on specification, and it takes two years to three years to see them deliver. Whereas in distribution, I would say that you can see turnaround or contribution as short as 8 to 12 months. Certainly when you look at an experienced hire versus a college hire, there is a pretty big difference that experienced hire probably hit the ground running with three months to six months and somebody at a college is about 2 to 2.5 years.
David Stratton: And then given the length of hiring over the last few years, does that mean that the majority of the sales that far almost at the peak productivity?
Bob Patterson: Well as we've looked at the hiring, I think that you’re starting to see a greater and greater proportion are coming from college, I still say we still hire a lot of experienced sellers. But I wouldn't say that we have reached peak productivity, I think that we have a long way to go. And certainly as we get better, and are able to hire more right out of school, we’re going to continue to do that.
David Stratton: And then one follow-up regarding the divestiture of DSS, how has that impacted the CapEx expectations going forward, since that was a pretty intensive business segment?
Bob Patterson: So, we've been - on the last call, we said we thought we would spend about $95 million in capital this year, DSS was roughly $20 million of that, we head-on for half of the year, so I’m expecting we’ll spend about $85 million in CapEx this year.
Operator: This call comes from Rosemarie Morbelli with Gabelli & Company.
Rosemarie Morbelli: I hope if I heard properly, the combination of the two acquisitions are going to generate about $75 million of annual revenues and $6 million of operating income. If I heard properly then this is an 8% operating margin which is substantially lower than the segments you currently have in those categories. So, could you help me understand why those margins are so low and can you get them to your Color level?
Bob Patterson: So, look the answer to your second question is, there is no doubt that we’re going to be able to get them to the level of operating income that we see and they are both within Color. So they both can get to those same operating margins. And I think that's one of the reasons that we really like these businesses, I mean first and foremost we love the technology in the markets that they serve, but also see an opportunity to help bring our resources to bear. A great example of that is Lean Six Sigma and helping these businesses improve their operations. I can tell you as an example that the acquisitions typically carry about two to three times more working capital than one of our businesses does. So, there is an example of an efficiency improvement and the same type of things exist within P&L related initiatives such as sourcing and supply chain. So, a lot of work to do, but I feel very confident we’ll be able to get those margins up.
Rosemarie Morbelli: And lastly, what, how much D&A or the - amortization are you going to have added to that to your base?
Brad Richardson: It's probably almost $10 million on these deals. So if you look at the underlying EBITDA, that’s probably closer to $15 million or $16 million.
Rosemarie Morbelli: So, if I look at that which means that you paid 21 times now, if I’m doing...
Brad Richardson: We've paid a little less than 10 times.
Rosemarie Morbelli: Okay. I obviously didn't do the math properly. Thank you.
Operator: There appear to be no further questions. So, at this time, I will turn the call back to Bob Patterson for closing comments.